Operator: Thank you for everyone that has joined us so far. We are just going to give it about thirty seconds, and we will get started soon. Everyone for joining us today. We will get started momentarily. Okay. Hello, everyone, and welcome to Viant Technology Inc.'s third quarter 2025 earnings conference call. My name is Dave, and I will be your operator today. Before I hand the call off to the Viant leadership team, I would like to go over just a few housekeeping notes for the program. As a reminder, this call is being recorded. After the speaker remarks, there will be a question and answer session. If you plan to ask a question, please ensure that you have set your Zoom name to display your full name and firm you are with. And if you would like to ask a question during the call, please use the raise hand feature in Zoom, which is located in the controls at the bottom of your Zoom screen. You could raise your hand at any time and be queued. And thank you for your attendance today. I will now turn the call over to Nicholas Todd Zangler, VP of Investor Relations for Viant Technology Inc. Thank you. Good afternoon, and welcome to Viant Technology Inc.'s Third Quarter 2025 Earnings Conference Call. The call today are Tim Vanderhook, Co-Founder and Chief Executive Officer, Chris Vanderhook, Co-Founder and Chief Operating Officer, and Lawrence J. Madden, Chief Financial Officer. I would like to remind you that we will make forward-looking statements on our call today, including, but not limited to, statements regarding our guidance for Q4 2025 and other future financial results, our strategy, our platform development initiatives, including Viant AI, our pipeline, and potential partnership opportunities, and industry trends that are based on assumptions and subject to future events, risks, and uncertainties that could cause results to differ materially from those projected. These forward-looking statements speak only as of today, and we undertake no obligation to update or revise these statements except as required by law. More information about factors that may cause actual results to differ materially from forward-looking statements and our entire safe harbor statement, please refer to the news release issued today as well as the risks and uncertainties described in our quarterly report on Form 10-Q for the quarter ended September 30, 2025, under the heading Risk Factors and in our other filings with the SEC. During today's call, we will also present both GAAP and non-GAAP financial measures. Additional disclosures regarding these non-GAAP measures, including a reconciliation of non-GAAP financial measures to the most directly comparable GAAP financial measures, are included in the news release issued today and in our earnings presentation. Which have been posted on the Investor Relations page of the company's website and in our filings with the SEC. I would now like to turn the call over to Tim Vanderhook, Chief Executive Officer of Viant Technology Inc.
Tim Vanderhook: Thanks, Nick, and thank you all for joining us today. We delivered a strong third quarter performance achieving new company records across all key metrics. Revenue increased 7% year over year and contribution ex TAC increased 12% year over year. Both well above the midpoint of our quarterly guidance range. When excluding temporary items like political advertising, revenue in contribution ex TAC increased 19-22%, respectively, and more accurately reflects the true strength of our business. Growth was driven by new customer wins accelerating CTV demand, a surge in streaming audio demand, greater adoption of Viant's addressability solutions, and the expanded use of the Viant AI product suite. Adjusted EBITDA increased 9% year over year to $16 million for the quarter and surpassed the high end of our guidance range. On our previous earnings call, we discussed an incremental $250 million in potential ad spend opportunities associated with ongoing discussions with major US advertisers. Representative of a new addressable market for Viant. We are thrilled with our recent progress. Which includes multiple client wins and is highlighted by a flagship multiyear partnership with Molson Coors. One of the world's largest beverage companies. Viant has been designated as the advertising platform for Molson Coors, and will power their programmatic ad campaigns deployed across the open Internet throughout The US beginning in 2026. Viant was selected because of our proprietary intelligence layer. Which combines our industry-leading addressability solutions with our autonomous advertising capabilities to uniquely activate first-party data. Reach targeted audiences, and achieve measurable outcomes at scale. Molson Coors manages a diverse product portfolio. Including core power brands, premium brands, and value brands. Each of which services a distinct customer demographic. Viant is uniquely capable of finding both existing and potential customers by leveraging our intelligence layer. By integrating their first-party data into our autonomous ad platform, we aim to empower Molson Coors to reach the appropriate legal drinking age audience for each brand while ensuring that every impression delivers measurable value. This is precision marketing at scale. Made possible through Viant's autonomous ad platform. Molson Coors joins one of many major US brand advertisers, who share our vision of achieving outcomes through autonomous advertising. With multiple wins in place, the broader market is increasingly recognizing Viant as the autonomous advertising platform for the open Internet. And for good reason. Our value proposition is unmatched. First and foremost, we are an independent and objective partner. Free of the conflicts of interest that exist with our competitors. Remember, many of our peers either sell owned and operated inventory or they monetize certain supply paths putting their interests at odds with their advertiser clients. Google direct spend to YouTube, Amazon direct spend to Prime Video, and The Trade Desk direct spend through OpenPath, all to extract more margin for themselves and ultimately to the detriment of the advertiser. At Viant, we pride ourselves in directing spend to ad inventory that drives the highest return on ad spend for the advertiser. We own no publisher content, and our incentives are directly aligned with those of our advertiser clients. Viant is also a leader in proliferating secular growth channels. CTV and streaming audio. Offering advertisers the ability to purchase ad inventory through our direct access premium publisher program. The industry's most efficient path to purchase premium CTV and streaming audio ad inventory. Through direct access, more ad spend is allocated to working media. Which means dollars deployed on Viant's platform go further. Generating more ad impressions for advertisers than on many competing platforms. And as referenced a moment ago, at the core of our autonomous ad platform, is an intelligence layer that is giving our customers the ability to drive higher returns in open Internet advertising. Viant is the only platform where advertisers can leverage AI to harness what we believe to be the industry's most powerful audience identifier Household ID. And the industry's most powerful content identifier, Iris ID. To cut through the noise and deploy precise hyper-targeted campaigns at scale through the most efficient supply paths. This value proposition is resonating with brand advertisers more so than ever before. And I am pleased to report that throughout the quarter, we made tremendous progress. Further enhancing this value proposition as part of our relentless focus on innovation. On that note, I will provide an update on performance and progress across our key strategic priorities. CTV, addressability, and Viant AI. CTV was the strongest driver of contribution TAC growth in the quarter. Exhibiting an accelerating year over year growth rate. Our results consistently demonstrate our leadership position in CTV and this quarter was no different. Total CTV ad spend on our platform reached a new all-time high. And represented 46% of total advertiser spend on our platform. Also an all-time high. Year to date, approximately half of all CTV ad spend on our platform has been directed by our customers to run through our direct access publisher program, which offers an efficient targetable, and measurable way to purchase CTV inventory. The vast majority of leading streaming services have joined the direct program, including Disney plus Paramount plus NBCU, Tubi, Samsung, and many more. Increasing adoption of our addressability solutions Household ID and Iris ID, both of which are purpose-built for CTV, further propel demand for CTV on our platform. Leading to outsized growth relative to our peers. Viant's household ID, our patented audience targeting and measurement solution, continues to see strong utilization amongst advertisers and was a meaningful contributor to top-line growth in the quarter. Household ID delivers superior addressability for advertisers looking to leverage their first-party data, to reach specific audiences and measure campaign performance. Household ID identifies approximately 95% US households. And is available across roughly 80% of all biddable ad inventory. Four times the coverage of key competing identifiers. Which reach only about 20% of biddable ad inventory. Our content targeting and measurement solution, Iris ID, continues to ramp across publishers. Enticing a growing number of advertisers to deploy contextually targeted campaigns, on our platform. We recently added Tubi, a leading fast streaming service with over 100 million monthly active users to our pool of Iris enabled publishers. Joining the likes of Paramount plus AMC Networks, Whirl, Lionsgate, CNN, LG, Vizio, and many more. In just one year since acquisition, we have more than tripled the presence of Iris ID across the CTV bid stream and we believe we have a clear path to achieve 50% of the CTV bid stream penetration in the next few months. Iris ID is a powerful performance solution enabling advertisers to achieve unprecedented levels of precision by targeting CTV ad inventory at the video level. Which includes scene level targeting. Consider for a moment the possibilities of scene level targeting where brands align with a seemingly infinite assortment of themes. Imagine brands like Tide laundry detergent targeting stains Bounty paper towels targeting spills, and Coca Cola targeting happiness. The possibilities are limitless. And most importantly, Iris ID works. When utilized on our platform, advertisers are seeing, on average, a 48% increase in conversion rates versus control groups. Given the effectiveness of contextual targeting strategies, deployed with Viant, advertisers are buying in. In fact, in Q3, revenue attached to the Iris ID more than doubled sequentially versus the prior quarter. Last quarter, we announced a partnership with IPG Acxiom where Iris ID is powering their content targeting offering. IPG is requiring all content owners with upfront commitments to carry Iris ID, and we believe this partnership will help further drive Iris ID into the CTV ecosystem. Moving on to Viant AI. Our autonomous ad platform is powered by the Viant AI product suite. We have successfully rolled out three of the four phases comprising the Viant AI product suite. Viant AI consists of AI bidding, AI planning, AI measurement and analysis, and AI decisioning. I will provide a brief update on all four phases. AI bidding continues to automate 85% of the ad spend on our platform. With AI bidding, advertisers enable Viant's algorithms to find and buy optimal ad placements across the open Internet. Aiming for the lowest cost while meeting their desired KPIs which often include reach, frequency, and other targeting requirements. With surging use, contribution x TAC generated from AI bidding more than doubled year over year in the quarter. And growth accelerated for the fourth straight quarter. We recently launched AI bidding 3.0 ahead of schedule. Which is expected to deliver even greater media cost reductions to our clients. AI planning most clearly showcases our intelligence layer at work. And represents the future of ad campaign creation and execution at Viant. AI planning enables any advertiser from an SMB to an enterprise marketer to create a brand or product-specific ad campaign in seconds. We replace the complex DSP UI with a single prompt that requires just four inputs. The advertiser, the budget, the time frame, and the goal. Within seconds of submission, an ad campaign designed to maximize return on ad spend is fully constructed and ready for deployment. Our intelligence layer identifies the ideal audience segment for any brand product, or service then utilizes advertiser first-party data together with our addressability solutions historical campaign performance data, and bidding algorithms to most efficiently allocate the budget across various digital channels, publishers, geographies, audiences, video level content, time of day, and more. To execute campaigns capable of delivering the most optimal outcomes. In preparation of our launch of AI decisioning, AI planning has been significantly enhanced. Now capable of building and executing campaigns for niche performance advertisers and even individual products or services. For example, AI planning can now build and execute a campaign for every single pair of shoes on Nike's website. Each uniquely tailored to address a specifically defined audience through calculated digital channel allocations and use of specific audience in contextual targeting segments. With this new enhanced level of precision, enterprises and mid-market advertisers can reconfigure marketing strategies for increased efficiency and performance advertisers. Including SMBs and direct to consumer ecommerce companies. They can readily engage the most highly effective digital channels like CTV. Of course, powering this enhanced level of precision are our proprietary addressability solutions. Household ID and Iris ID. Both of which are now fully incorporated into our intelligence layer. AI measurement and analysis launched earlier this year and replaces traditional reporting with on-demand insights. Historically, campaign performance data has been spread across multiple dashboards buried in spreadsheets, and has required the expertise of specialized data scientists to interpret results and identify actionable insights. AI measurement and analysis surfaces actionable insights and optimization opportunities in an instant. Via an intuitive chat-based interface. Think of AI measurement and analysis as a trusted copilot providing on-demand answers and recommendations to all campaign performance-related queries. An essential feature necessary to properly support performance advertisers. AI decisioning, set to launch at year-end will truly usher in the outcomes era of programmatic advertising at Viant, by combining AI bidding, AI planning, and AI measurement and analysis with the added capability of dynamic spend deployment. AI decisioning proactively reacts to fluid market conditions, and adjust campaigns in real-time. To deliver optimal campaign results. AI decisioning is expected to enable Viant to expand our addressable market to include performance advertisers. Who are in need of a do it for me solution. That can service them across the open Internet. Our autonomous advertising platform will compete with Google's Pmax, and demand gen solutions as well as Meta's advantage plus solution, but will direct spend to demand generation channels like CTV and streaming audio that drive incremental lift. As opposed to demand capture channels like search and social where ad spend is directed to audiences that often would have converted anyway. To summarize, we delivered impressive results attributable to strong underlying performance particularly in CTV. Where we are continuously expanding our leadership position. We believe our partnership with Molson Coors underscores our platform's unique advantages over our much larger competitors. And we strengthened our value proposition through improvements in our CTV offering. Addressability solutions and the Viant AI product suite. With headwinds easing, underlying performance strengthening and a marquee client win established we are poised to meaningfully accelerate growth going forward. With that, I will pass it over to Chris.
Chris Vanderhook: Thanks, Tim. I will provide an update on our customer go-to-market strategy. We intend to maintain our dominant position within the mid-market. With the success of Viant AI, we will opportunistically expand upmarket with major US advertisers like Molson Coors, who share in our vision of achieving measurable outcomes through the use of autonomous advertising, and expand down market to enable the millions of performance advertisers including SMBs and direct to consumer e-commerce companies, participate in the open Internet just like they currently do in search and social. Touching first on the mid-market. We continue to execute across our core customer cohort as demonstrated by the acceleration in demand we generated in the quarter. Which can be seen in our underlying performance. After accounting for political ad spend in the prior year, and the departure of a seasonal advertiser due to a corporate merger, contribution ex TAC increased by 22% in the quarter. Mid-market advertisers are increasingly relying on our intelligence layer and embedded solutions like Household ID, Iris ID, and AI bidding to successfully navigate today's complex digital landscape. As a result, Viant is becoming more deeply integrated into the fabric of our clients' marketing efforts, opening up more opportunities for collaboration. For example, we recently expanded upon an existing partnership with a leading grocery chain to power their retail media network. By leveraging their extensive first-party dataset along with our industry-leading addressability solutions, we are enabling this grocer's numerous vendors to target relevant audiences with highly effective off-site ads. Beyond this existing partnership, we are in active dialogue with a number of additional major retailers exploring opportunities to utilize their first-party dataset in combination with our addressability solutions to better enable their vendors to market products more effectively across the open Internet and ultimately drive sales growth across these retailers. Across major US advertising, advertisers, we have been actively pursuing over $250 million in potential ad spend, all of which would be incremental to our mid-market growth opportunity. As Tim mentioned earlier, major US brands are increasingly looking to partner with Viant due to our independence, our leadership in CTV, and to leverage our intelligence layer that is core to our autonomous advertising platform in Viant AI. Our multiyear partnership with Molson Coors not only demonstrates our ability to win amongst major US advertisers, but we believe this win is indicative of a growing preference amongst large brands to deploy data-driven campaigns at scale. Historically, the world's largest advertisers have executed ad campaigns built for reach and frequency with minimal emphasis on addressability, and the need to tie all media to outcomes. We see a changing landscape. Where even the largest brands in the world seek to advertise with precision. Measure and drive return on ad spend, and improve the overall effectiveness of their marketing budget. This is exactly what Molson Coors is striving to achieve. And we expect they will rely on our intelligence layer within our autonomous advertising platform to build and execute sophisticated campaigns designed to achieve maximum efficiency. Together, we can connect their brands to the right audiences and the right moments to deliver measurable outcomes while reinforcing Molson Coors' legacy of brand building. At the end of the year, we plan to launch the fourth phase of our Viant AI product suite, AI decisioning. Enabling Viant to better serve performance-based advertisers via a self-service do it for me solution. The opportunity across performance advertisers including SMBs and direct to consumer e-commerce companies, is substantial. Representing 10 million advertisers and over half of the $240 billion currently allocated to search and social digital channels. Performance advertisers prioritize targeting and measurement. A capability that has emerged within CTV through the use of our addressability solutions. Performance advertisers tend to be overinvested in search and social platforms. And stand to benefit from shifting spend to CTV, where they can drive and measure incremental sales and improve their return on ad spend. Today, we believe there is no true self-service solution in the marketplace capable of addressing this customer segment for the open Internet. DSPs as they currently exist are far too complex to attract the performance advertisers in mass, until now. AI decisioning is the component of our autonomous advertising platform designed to enable any size advertiser to deploy ad spend across highly effective digital channels including CTV, streaming audio, and more. The team is hard at work preparing for the launch of AI decisioning by the end of the year. And because we have embraced a product-led go-to-market strategy, we see an opportunity to deliver faster growth and higher margins than that exhibited by early entrants currently targeting the space through their numerous sales reps, and rented technology. We believe our in-house, do it for me autonomous advertising platform limits the need for extensive personnel investment to support new client acquisition and expansion. Clearly, Viant is executing across a wide range of market opportunities. In the mid-market, where we have traditionally dominated, we continue to exhibit strong growth as demonstrated by our results. Amongst major US advertisers, a new addressable market for us we have been in active pursuit of over $250 million in incremental ad spend, with multiple wins in place. And to address the emerging opportunity amongst performance advertisers, we are launching the industry's first autonomous advertising platform built for the open Internet. With that, I will turn it over to Larry to provide more detail on our financial performance. Larry?
Lawrence J. Madden: Thanks, Chris. Before I begin, I would like to remind everyone that we have posted a presentation on our Investor Relations website that includes supplemental financial information to accompany today's call. In terms of our results for the third quarter, revenue for the quarter was $85.6 million representing a 7% increase year over year and 10% increase quarter over quarter and was above the midpoint of our guidance range. Contribution ex TAC totaled $53 million in Q3, up 12% compared to the prior year period and up 10% sequentially reaching the high end of our guidance range. Both revenue and contribution ex TAC represent record results for the 3Q period. It is important to note our underlying business is performing far stronger than our reported results indicate. When excluding political ad spend contribution from the prior year election cycle, which weighed on revenue growth by approximately 600 basis points and contribution ex TAC growth by approximately 400 basis points as well as the departure of a seasonal advertiser due to a corporate merger which weighed on revenue and contribution ex TAC growth by approximately 600 basis points, Q3 revenue increased 19% year over year and contribution ex TAC increased 22% year over year on a pro forma basis. We believe this underlying performance more accurately reflects the true health of our business and adjusts for material factors outside of our control. During the quarter, we also continued to see meaningful expansion in the number of customers generating significant levels of contribution ex TAC. On a trailing twelve-month basis through Q3, saw a 39% increase in the number of percent of spend customers generating over $1 million in contribution ex TAC. Additionally, contribution ex TAC across our top 100 customers grew by 18% year over year on a TTM basis. New customer momentum also remained strong, as evidenced by the recent announcement of a newly formed multiyear partnership with Molson Coors, one of the largest beverage companies in The US. We are encouraged by our performance demonstrated ability to bring major US brand spend onto the Viant ad platform. We believe these trends fueled by growth from both existing and new customers, reinforce our strong competitive positioning and support our ability to continue outperforming the broader programmatic market over the long term. We delivered strong performance across most customer verticals in Q3, with ad spend across our top six verticals which include health care, retail, consumer goods, public services, business services, and automotive, leading the way. CTV remained a core growth driver in Q3 accounting for a record high of 46% of total platform spend with nearly half running through direct access premium publishers. In addition, CTV spend reached an all-time high in the quarter reflecting continued momentum as advertisers increasingly prioritize premium addressable video to drive performance. Spend across all emerging digital channels which includes CTV streaming audio and digital out of home, collectively represented approximately 56% of total platform spend in Q3 also a new record, and up from 50% in 2024, 43% in 2023. Highlighting the accelerating adoption of next-generation media formats and underscoring our position as a leading partner for advertisers moving beyond traditional display. Video inclusive of CTV reached a record high 62% of total platform spend in the quarter. Reflecting the continued shift towards high impact measurable formats. Non-GAAP operating expenses totaled $37 million in the third quarter. Representing a slight sequential decline and a 13% year over year increase. Notably, operating expenses include strategic investments related to the acquisition of Iris TV, closed in November 2024, and Locker, which closed in February 2025, both of which expand our long-term product capabilities and then are intended to support long-term growth. Excluding these acquisitions, organic non-GAAP operating expenses increased a modest 7% year over year and decreased 1% sequentially reflecting continued operating leverage and disciplined expense management. Importantly, we remain focused on scaling efficiently. Even as we continue to invest in innovation across Viant AI and our broader technology stack you are delivering measurable gains in productivity. Increasing contribution ex TAC per employee by over 7% year over year a clear signal of improved operational efficiency. Adjusted EBITDA for Q3 was $16 million exceeding the high point of our guidance by 7% and growing 9% year over year and 42% sequentially. Adjusted EBITDA as a percentage of contribution ex TAC was 30% for the quarter well above our prior guidance, which called for 28% adjusted EBITDA margin at the midpoint. We were able to deliver strong margins despite temporary pressures impacting our top line, and while absorbing elevated year over year operating expense growth stemming from the integration of the recent acquisitions. Both of which represent critical investments that have materially strengthened our competitive positioning. Non-GAAP net income, which excludes stock-based comp and other adjustments, totaled $11.2 million for the quarter, down 9% from $12.3 million in the prior year, Non-GAAP basic earnings per Class A share outstanding was $0.12 in the third quarter, compared to $0.15 in the prior year. The year over year declines of both non-GAAP net income and earnings per share are primarily attributable to lower interest income and higher income tax expense in the current period. Non-GAAP net income before interest and taxes increased 4% year over year in Q3. In terms of share count, we ended the quarter with 62.4 million shares, outstanding, consisting of 16.6 million Class A shares, and 45.8 million Class B shares. We ended the quarter with a strong balance sheet including $161 million in cash and cash equivalents $194 million of positive working capital, no debt, and full access to our $75 million credit facility. We also remain disciplined in our capital allocation. Since launching our share repurchase program in May 2024, we have returned $59.6 million to shareholders. Including $10 million in Q3 and $37.9 million year to date through November 7. In total, since inception, we have repurchased 4.8 million shares at an average price of $12.42 signaling our confidence in our long-term value. As of November 7, approximately $40.4 million remains available under our current authorization. We intend to continue executing this program opportunistically with a focus on maximizing value for long-term shareholders particularly during periods when our stock is undervalued. We believe our strong financial foundation combined with consistent execution and a balanced capital allocation strategy, positions us well to capture growth opportunities and drive shareholder value in the quarters ahead. Turning now to our Q4 outlook. As a reminder, our Q4 performance is being measured against a difficult comparison largely due to last year's high political ad spend contribution. This headwind is expected to pressure revenue growth by 600 basis points and contribution ex TAC growth by 500 basis points in Q4. This is fully reflected in our guidance for the 2025. Which is as follows. Revenue of $101.5 million to $104.5 million a 14% year over year and 20% sequentially at the midpoint. Excluding the impact from political, revenue is expected to be up 20% year over year at the midpoint on a pro forma basis. Contribution ex TAC of $62 million to $64 million reflecting 16% year over year growth and 90% sequentially at the midpoint. Excluding the impact for political, contribution at Stack is expected to be up 21% year over year at the midpoint on a pro forma basis. Non-GAAP operating expenses of $39.5 million to $40.5 million up 7% year over year and 8% sequentially at the midpoint. Excluding the impact from the Iris and Locker acquisitions, organic non-GAAP operating expenses are expected to increase a modest 5% year over year, and 9% sequentially at the midpoint, reflecting continued operating leverage and disciplined expense management. Adjusted EBITDA of $22.5 million to $23.5 million representing a 35% year over year increase and a 44% increase sequentially at the midpoint. And finally, we expect an adjusted EBITDA margin as a percentage of contribution ex TAC of 37% at the midpoint. Representing over 500 basis points of improvement over the prior year period. Despite these temporary political headwinds, the midpoint of our guide assumes record Q4 performance across revenue, contribution ex TAC and adjusted EBITDA. Based on the midpoint of our guide, we now expect full year 2025 revenue and contribution ex stack growth of 17% adjusted EBITDA growth of 25%, and adjusted EBITDA margins of 27% an improvement of nearly 200 basis points year over year. Notably, excluding the temporary headwinds we discussed, our Q4 guide at the midpoint implies full year 2025 revenue and contribution ex TAC growth of 22% on a pro forma basis. Indicative of strong underlying performance. As a reminder, the political ads spend headwind will no longer be a factor starting in 2026. A few other considerations worth noting for 2026 modeling. We anticipate accelerating year over year growth in revenue and contribution ex TAC throughout 2026 driven by new client onboarding. Additionally, while we expect to start servicing Molson Coors in Q1, more significant spending is expected to commence into Q2 and beyond. In terms of non-GAAP operating expenses, beginning in 2026, we will have lapped nearly all of the OpEx contributions associated with the recent acquisitions and therefore we expect to grow non-GAAP operating expenses at a lower rate in 2026 than in 2025. Given these assumptions, we expect to deliver significant EBITDA margin expansion in 2026. In closing, we delivered another record quarter executing against our strategic priorities advancing innovation across our platform, and returning capital to shareholders through opportunistic share repurchases compelling valuations. Our growth pipeline has never been stronger is supported by over $250 million in potential annualized ad spend opportunities associated with major US advertisers. A new addressable market for Viant. We are clearly executed against this opportunity as evidenced by the flagship partnership with Molson Coors. Among other sizable wins. We believe we are well positioned for sustainable long-term growth our strategic alignment with secular growth trends including CTV, addressability and Viant AI. And with that, I will turn the call back over to the operator for questions. Operator?
Operator: Thank you, Larry. We will now proceed to the Q&A session. As a reminder, if you have a question, please use the raise hand feature in the controls located at the bottom of your Zoom window. And with that, our first question comes from Laura Anne Martin with Needham. Laura?
Laura Anne Martin: Hey. Great numbers, guys. I have two. One is, you guys always had a self-serve platform and you have had two, like, products out of the three AIs. So what is it about the third AI product that you are delivering in the fourth quarter? That opens a new SMB TAM Is it content creation, or why would not that you know, what was why is it different? From what has been possible to date? And then, Larry, just on your guidance, your same store guidance has a 600 basis point headwind for a merger client that took spending. That is not one time. Right? That is going to be a 600 basis point headwind for four quarters in a row. Do I have that right? Or if not, tell me.
Lawrence J. Madden: Larry, you want to take the first one? I will go first. So no. This was particular client was a very seasonal client. Spent the majority of their budget in Q3. And and relatively modest amounts in other quarters. So that it will be it will be very modest in terms of the headwind on that one. We are not even calling it out. But it is really the Q3 quarter that was the big hit for that for that particular Okay. Super helpful.
Laura Anne Martin: Great.
Tim Vanderhook: Laura, and on the first one, when we launch AI will complete the cycle of the four phases of Viant AI, and that will do is effectively make it full self-driving. Right now, we would classify Viant AI as human in the loop, approving everything, needing to add extra information, or optimizing the campaign. Based off the results, but with AI decisioning, they it will take over the complete campaign from start to completion, hopefully hitting the customer goals that the advertiser is looking for. And, Laura, just to remind everybody, know, DSPs traditionally are very complex. We liken them to, like, a Bloomberg terminal in finance. And with these smaller direct to consumer ecommerce companies or SMBs, they need a more simplified, user experience. And they really want the platforms. They they want to give you limited information than what the platform to hit their goals. And we liken it also to it is like the self-driving car. That is kind of what we are doing with AI decisioning that it is they are going to give us you know, some basic information their goals, and then the platform is going to just deliver them the results.
Laura Anne Martin: Okay. Thanks, guys. Appreciate it.
Tim Vanderhook: Thanks a lot.
Lawrence J. Madden: Thank you, Laura.
Operator: Next question comes from Matthew Dorrian Condon with JMP.
Matthew Dorrian Condon: Thank you guys for taking my question. My first one is just on the Amazon DSP. It seems like they are offering 0% DSP fees that been out there in some of the articles. Just have you guys seen any increased competitive intensity here over the past quarter or so?
Tim Vanderhook: I would say no on increased competition. Certainly, the Amazon DSP marketing team deserves a trophy for how much coverage they have been able to get over the past couple of months. But I would say no. The competitive, side of Amazon's ads business has been pretty consistently there. Most of their revenue is sponsored listings. The DSP, I would guess, is a very small portion. And we do not see them, you know, in the competitive bake-off processes at the finish line.
Matthew Dorrian Condon: Got it. And then my second one is just on, you know, as you launch the AI decisioning product and expand into the SMB performance market, Just how do you grow awareness with that type of advertiser? Is there different investments in sales and marketing that you need to make, or how do you think about that go-to-market strategy?
Tim Vanderhook: Yeah. You know, there is a lot of, channel partnerships that you end up doing. There is a whole, you know, ecosystem of direct consumer agencies, also measurement firms, that we may look to partner with as well. But that SMB and direct consumer ecommerce market is really dominated by Meta and Google. And there is a lot of interest out of those marketers to get the open Internet, to get into CTV. But I would say that the thing that you have to produce is true performance. And I think that is really what we are showing with a lot of our current customers today, whether mid-market, or the larger advertiser segment. And we know that we are we are able to show the results there, and we are really confident. Once we launch AI decisioning, we are going to be able to attack that the, the lower end of the market as well. But, Matt, just to put, I guess, a a finer answer on that, we view e you know, electric reaching, advertisers that are out there in this segment, direct to consumer e com. So we see a self-service sign-up flow, and hopefully, no humans having to interact with them to use the platform. That is the goal.
Matthew Dorrian Condon: I appreciate it, guys. Thank you.
Operator: Alright. Our next question comes from Wyatt Swanson with D. A. Davidson. Wyatt?
Wyatt Swanson: Hey, guys. Thanks for the question. I am on for Tom White. I got a question on the client win you announced last week with Molson Coors. Can you talk about the incremental spend you expect to see from that? And maybe how that impacts the pipeline of $250 million incremental spend that you talked about last quarter there is still a lot of remaining incremental spend you believe you could capture for 2026.
Tim Vanderhook: Yeah. I would say there there definitely is a lot of incremental spend. I cannot talk about any client-specific spend, given the pro nature of that information. But Molson Coors is a huge win. Obviously, we are very proud of it. We have got Coors Lights on our desk right now for the earnings call, so we are pretty excited about that partnership. But I will say that, that should continue to scale. You know, look for that to start coming on board. In the second quarter, as that client onboards, and that should continue to scale for many years. It is a multiyear partnership, so that should get bigger and bigger each year. I I will point out, though, that Molson Coors was not the largest advertiser in that spend amount that we talked about last quarter. We have won some other customers in there They we were not allowed to announce their names, so some of those are rolling forward. Into 2026, but there is still even bigger companies that that are in there that we can win for next year. So we are excited about what is ahead, and we are excited about the partnerships that we have struck heading into the future.
Wyatt Swanson: Got it. That is really helpful. And then kind of a follow-up to the elevated competition recently in the DSP space. From your guys' perspective, how do you see the competitive environment evolving as companies like Google and Amazon, you know, sort of try to evolve their DSPs?
Tim Vanderhook: Yeah. Why do not I start, and then you are yeah. I mean, I I view the competitive space as getting smaller and smaller. Trade Desk has made specific moves around OpenPath and charging for what used to be SSP territory. So we made in our prepared comments Google wants to sell you YouTube. Amazon wants to sell you Prime Video. And Trade Desk wants to redirect your spends through OpenPath, their their own SSP where they are making incremental margins. Viant takes a different approach from that, and so we see less competition. You look at truly objective buy-side only platforms. Historically, there was The Trade Desk and ourselves. I think with some of The Trade Desk's recent moves, that puts them more in the, I guess, no longer independent or objective when it comes to the pathways. What would you add? Yeah. And I just add on to objectivity know, we see a real opening in the market and as evidenced by the Molson Coors win in. Of these other wins, that we have already we have already achieved, objectivity is a big piece. We think that we can be kind of the inside man for marketers. That this industry is so complex, and programmatic advertising and digital overall. We talked a lot about our intelligence layer. This is really required Marketers need someone. Who is going to go out and defend their interest in market and get them their returns. And on most historically, most of the largest players in advertising are on both sides of the transaction. They are looking to sell you their own inventory. They consistently and this has been proven. They rig the results to show that their content their own inventory is driving the best results. Marketers regularly figure that out, but in the end, that ended up not being true. And I think just as a lot of these, especially with the larger brands, as now most of the money is in digital, now realizing that even though their KPIs in digital may have gotten better, total sales and total market share do not they do not tell the same story. So we are really looking to connect senior marketing leadership with the CEO and the CFO's expectations of revenue growth, market share growth, That is what is unique about Viant. We think from a competitive standpoint, we are really the only one left on the buy side that has true to actually serve that role.
Wyatt Swanson: Got it. Thanks, guys.
Chris Vanderhook: Thanks, Wyatt.
Operator: Our next question comes from Jason Michael Kreyer with Craig Hallum. Jason?
Jason Michael Kreyer: Great. Thank you, guys. So, obviously, that $250 million pipeline delivered some nice wins this quarter. Just curious if you can talk about how the sales teams are backfilling additional opportunities behind that.
Tim Vanderhook: Well, really, the the larger the larger advertiser opportunity has really been product-led. We did not go out and make a huge push, and this is what has really been so exciting for the team. We are getting pulled into that, and it started about a year ago with the launch of Viant AI. A lot of these large marketers are looking to get more efficient. Better results. Like I said, they got to tie out what the CEO and the CFO are saying in terms of you know, tying outcomes true outcomes to their actual ad spend. So we are this is a product-led initiative. We are being pulled into this. And so, really, for the sales team, it has not been a massive sales effort today to go after this market. And I think we are going to continue with being pulled in from a product standpoint. When we launch AI decisioning, as well, that is going to be product-led as well. So we are really excited about that. This has not been a heavy drain on our current core sales team. But we think that we are we are good with the investments that we have that we have made throughout this year to be able to serve this end of the market.
Jason Michael Kreyer: Just a follow-up for Larry. You talked about greater margin, EBITDA margin expansion in Q4, and I think you alluded to kind of similar trends as we get into '26. Are there AI efficiencies driving that, or are there some other elements driving that that you can call out?
Lawrence J. Madden: I think, a lot of it is just the operating leverage in the model. As we grow spend, it is not linear to growing our overhead. So as we get bigger, we we can grow our overhead quite a bit lower than the the rate at which contribution of SAC grows. Certainly, AI has plays a role in that. We have a lot of we we have a lot of use cases where we are using it internally. That is making things more efficient. Making making people just easier to research and get tasks done. But it is really the it is the leverage the natural leverage in the model more so than than pure AI.
Operator: Okay. Thank you, Jason. Our next question comes from Andrew Jordan Marok with Raymond James. Andrew?
Andrew Jordan Marok: Hi. Thanks for taking my questions. Maybe again on the large advertisers. Within that incremental cohort, that you have kind of spoken about and maybe some of the unannounced, companies there, what are the characteristics of the clients that have seen that have been more promising either as unannounced deals or or as prospects? Whether that is by vertical or maybe some aspect of the advertiser that makes them a uniquely good fit for you.
Tim Vanderhook: You know, when I think of the type of that is ideal for Viant, it is someone that is going through a shrinking market know, if you think of the beer market in general, it is shrinking in size, younger, generations of Americans are drinking a lot less, and so they need to get more efficient really fast. For businesses that are, you know, crushing it, I I do not think NVIDIA is for new ad partners. Their business is off and running. And so for us, we are always looking for the challenging environment where the marketer really is looking for the truth on what is driving growth in their business, and they are very open and to the data that we can point to and the the case studies that that we have been able to show. That drive market share growth even in declining markets, or grow the overall category as well. So I would say we are looking for advertisers that are somewhat feeling pain that know that what their current setup is not working, and they are looking for a new way forward. And, Andrew, the reason for that is is that oftentimes when businesses are challenged, this is when most of the innovation takes place. Almost out of necessity. You know, we are not looking you know, we have a very specific point of view in the market when we when we go out and talk to customers. We understand that what the way that we talk there some marketers do not want to hear it, and they may not like to face music. That the partners that they have chosen and the measurement systems that they use are flawed. Many of these companies it is not that they are they do not want to do the right thing. You know, for the end customer or for the brand. But a lot of times, people's incentives are at play. And they they themselves may have made that decision in a year or two previously. But when we see the customers, it is really the customers that want to know more. That they want to see that someone can save them money in the supply chain. They want customers they want a platform to show them what is truly driving incremental sales and new not just the same customers to them. So we we really attract customers who think that way. Those are the ones that we want to help service. And we think that it the whole market gets here eventually. It will just take some time. Yep.
Andrew Jordan Marok: Thank you for that. That is that is really interesting. And maybe one for Larry. We have heard kind of some mixed reviews on October trends from some of the companies that we have talked to to date. I guess, what are you seeing right now? How are you incorporating the holiday season playing out in in your guidance? Thank you.
Lawrence J. Madden: I mean, you are seeing our guide, for CXT was 16% before the performance, I believe. So we are seeing strength. We are not not experiencing weakness. I mean, there are some pockets where you you do see certain sectors with our customer verticals a little bit weaker than others? But we are seeing strength across the board. Alright. Thank you.
Operator: Okay. Our next question comes from Barton Evans Crockett with Rosenblatt.
Tim Vanderhook: Hi, Barton. You are on mute. Go ahead.
Barton Evans Crockett: Hi there. I thought I pressed on mute. Can you hear me now?
Tim Vanderhook: Yeah. I can hear you.
Operator: Okay. Sorry about that. So, yeah, so
Barton Evans Crockett: was curious when you first, not just the numbers, just a basic thing. You talked about an acceleration of the revenue growth rate next year over the quarters, Is that inclusive of political or is that exclusive of political?
Lawrence J. Madden: Inclusive. That would be inclusive.
Barton Evans Crockett: Okay. So ex-political, is it more kind of a steady trajectory?
Lawrence J. Madden: No. We we think, certainly, we are going to from political. It will not be as big Probably not as big as it was two years ago. Or what last year. But, really, the the uptick in where we think we feel great about growing the growth rate really comes from a lot of these new new business wins. We think we can pro we we can from that, we can we believe we can increase growth rates in the couple of 100 basis points next year. From from 2025. So a lot of that is coming from the new business wins.
Barton Evans Crockett: Okay. Alright. That is great. And on on the new business wins, I was curious if you could give us a sense of how much of this has already played out and how much is to come. So I think you have said Coors is one win and you have gotten some others. There is still some other deals that could be decided. Of the $250 million, I mean, what portion has been decided? And can you also give us a sense of your win rate on these bids? I am also curious just to to probe deeper who who are you competing against when you are winning these things? Yeah.
Tim Vanderhook: So our win rate is actually been really good. On the ones we have already won here. There is still there is still a good amount, left I would say the minority of the two fifty has been decided with the majority still up for grabs. Is how I would describe it. But the win rate the win rate is been good. And like I just said in the earlier, one of my earlier responses, I think that it is really good because we actually choose on which customers we pursue. There is another very, very large CPG company that, you know, we have talked to in years past. We actually have not pursued an opportunity with them. Mainly because we do not actually believe that that that their headspace on where they are at, that their they are going to be right for us. We want customers who want out of necessity, feel like they need to do something different. That they cannot just run the same playbooks that everyone else runs. They cannot just rely on last touch attribution. These these companies sell you know, billions and billions worth of consumer goods. And you cannot we need customers understand that you cannot treat CTV as a last touch vehicle. We also want them to understand that everything just because you know, seven or eight years ago, certain companies in the space will deem that ad fraud is no longer an issue. Or, you know, that you know, direct direct path, inventory is not important. We need customers to actually assign value here. For us to pursue them. And, when you get a customer who who thinks the way that we do, this is typically where we are going to drive the most value for them.
Barton Evans Crockett: Okay. But just in terms of who are who are you competing against who are you winning against, can you go to any target? All all the players that
Tim Vanderhook: yeah. With Molson Coors, Trade Desk, Google, Nexen, I believe, was in there. It was Yahoo. I am not sure. I believe they were in there. All the majors that you would expect. Yeah. I mean, there is call it, five what you would consider that have an enterprise-grade DSP. There is about five companies that exist. You know? And, again, we think that we are really the only objective player that is specifically on the buy side. No allegiance to any sell side or supply path. Out there, and we think that it gives us a very unique position And just one last comment. It was cited in the press release this concept of findability, and it is a testament to how advanced Molson Coors is in in the space that it is not just about, hey. We have first-party data. We would like to match to you. Matching is one thing, but actually deploying and getting ads and messages in front of that audience in a real-life environment is a whole another thing. And most DSPs fall down when it goes to actually find those households that are in that customer's first-party dataset. So where it came to Molson Coors, it was not just the scalability of our household ID that it is four times greater than the next the next best partner. It is also the ability once your data is active in the DSP to actually reach them and deploy real dollars against them. That is where Viant's DSP far outshines all those enterprise-grade DSPs that we were up against.
Barton Evans Crockett: Okay. Thank you.
Operator: Okay. Our final question will come from Zach Cummins with B. Riley Securities. Zach?
Zach Cummins: Hi. Good afternoon. Thanks for taking my questions, and and congrats on on the strong results here. Tim, I I was curious just in terms of the CTV growth rate. Nice to see that become record amounts and and as a percentage of ad spend as well in the quarter. Can you give us a sense of the durability of that growth rate, especially now that your identifiers are are largely integrated into that, moving forward from here?
Tim Vanderhook: Mhmm. Oh, I think that growth rate is going to stay very high for many years. I think one most of us look at a TV becoming a computer, we are just thinking linear TV you know, translating into streaming. But I like in it more to the mobile app ecosystem. When smartphones came out, it was hard to imagine that mobile phones would be such a big opportunity from gaming to health to all types of different apps. That are now created on there. And I think you will see the same thing with smart TVs, It is going to be, yes, one leg of growth from linear TV moving into streaming. But it will be new growth that is created from new apps and gaming and time spent there as well. And also remember that smart TVs are Internet connected, so you have interactive capabilities that are still coming down the pipe in the future. Of it is two way. You are allowed to vote during games and things like that. There is going to be all types of fantastic content that comes online. That is going to grow time spent with our connected TVs pretty tremendously. So I see no risk in the growth rate for CTV. I think that thing stays very high for many years. There is also, Zach, some basics. Every time you see us make an announcement, of another large content owner, moving into direct access for us, you can expect you know, that growth to grow. Even faster. Iris ID, again, we want to have differentiation within CTV. And a lot and a lot of our customers recognize that. It is not just the direct supply path that saves them you know, 20 plus percent just straight off the top. It is also our AI bidding capabilities. They they love that. That is the probably the most loved thing we have by our customers is AI bidding. And then also the penetration of Iris ID. Competing platforms, when marketers log in to those and they go to buy CTV, they only can buy at the app level. Log in to Disney, you can only buy Disney. You do not know what show you are buying. If you log in to, you know, Paramount plus if you log in, it is like Paramount plus. You you do not know what the content is. Iris ID actually unearths what that content is about so the marketer can show up as being relevant. As Tim stated in his prepared remarks, we are seeing the performance increases. They are they are huge. So, again, these are just basic things that we want to do around differentiation that drives value for the advertiser. Understood. And my my one follow-up question is, I I know Is there a chance that client could be won back at some point in the future? You had a 600 basis point headwind from a lost advertiser in Q3.
Tim Vanderhook: Yeah. I think there is. Obviously, that was a little bit different The customer was acquired, and it was part of a cost synergy that was realized. I did listen to the earnings call, and I will say their revenue was down in the most recent earnings. And the CEO cited that it was due to advertising changes that they made. So hopefully, there is an opportunity there. But with cost being realized via M&A, it is a little bit different path. That we would have to go down. But, I think with the way that this year turned out, I think there likely is an opportunity for next year.
Zach Cummins: Great. Well, thanks for taking my questions, and congrats again on the strong results.
Tim Vanderhook: Thanks, Zach.
Operator: At this time, there are no further questions.
Tim Vanderhook: Thank you, everyone. We will see you next quarter.